Operator: Good morning, ladies and gentlemen, and welcome to the Q1 2019 Wabash National Earnings Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call may be recorded. I would now like to turn the conference over to your host, Mr. Ryan Reed, Director of Investor Relations. You may begin.
Ryan Reed: Thank you, Kyle. Good morning everyone and thanks for joining us on this call. With me today are Brent Yeagy, President and Chief Executive Officer; and Jeff Taylor, Chief Financial Officer. A couple items before we get started. First, please note that this call is being recorded. I'd also like to point out that our earnings release, the slide presentation supplementing today's call, and any non-GAAP reconciliations are available at ir.wabashnational.com. Please refer to slide 2 on our earnings deck for the company's Safe Harbor disclosure addressing forward-looking statements. I'll now hand it over and ask that you please refer to slide 3 as Brent gets us started with his highlights.
Brent Yeagy: Thanks Ryan. I'd like to begin by saying that we're pleased with the start of the year. We continue to make operational progress as we navigate through the headwinds that come with continued strong demand and growth that comes with successful execution of our strategic initiatives both within Final Mile and Diversified Products. However, all of our businesses contributed to our overall strong rate of growth in quarter one. Commercial trailer products showed very strong performance within its platform trailer business which positively influenced CTP's topline result. The growth in our platform business has been considerable over the last year and a result of strong execution strategy deployment and effective implementation of the Wabash Management System to scale that business. Diversified Products Group delivered solid growth with the tank trailer and -- within the tank trailer and composite businesses. I'd like to point out that DPG achieved 5% topline growth, more than offsetting the revenue loss from the recent divestiture of our AVTE business. This highlights a key tenet of our Wabash Management Systems that with focus comes growth. Final Mile Products saw outstanding growth of 34% as we continue to capture share in the truck body space by working with customers who appreciate the value of Wabash National's technology and a transforming manufacturing system that raise increasing levels of delivery and quality performance. Our customers are validating to their support and trust the strategic rationale of adding Supreme to the Wabash family. Growth has exceeded our expectations and so the unique challenges that come with such growth. We are maneuvering accordingly to mitigate the short-term bumps in the road such as chassis availability and accelerating our pace to unlock additional capacity within Final Mile Products. Exciting and impactful work remains, but we believe that the step change in Q1 revenue shows the strategic rationales flowing through as we march forward with our intensity a very significant force within the growing Final Mile space. We saw continued strength in our backlog which reached $1.6 billion at the end of the quarter, representing a 29% increase versus the same time last year. CTP's build schedules are effectively filled for the remainder of the calendar year, while other businesses also maintain very strong order books. In regard to our -- to both commercial and operational execution, we saw all of our businesses improved sequentially from the first quarter -- to the final quarter of 2018. Rewinding to mid-2018, we took immediate action to mitigate raw material headwinds, supplier disruption, and labor challenges. Those countermeasures set in motion as sequential step-up in margins for each of our businesses, while they continue to digest additional growth. We remain steadfastly focused on continuing to address those challenges that come with growth as well as the shorter term challenges caused by high levels of market demand as experienced in labor and supply availability. As the deployment of the Wabash Management System continues to broaden throughout all aspects of Wabash National, our confidence and expectations for further impact grow accordingly. I'd also like to highlight as a specific area of focus for me, the progress on improving DPG margins which is being executed by our Group President, Kevin Page and his team. This business has been diligent in embracing the Wabash Management System to drive enhanced process standardization, velocity-based lean manufacturing, and breakthrough sales and operations planning. In Q1, through enhanced focused and execution, DPG was able to deliver the strongest operating margins we've seen in that business for the last two and a half years, an achievement we're certainly excited by. Before moving on, I'd like to thank every Wabash employee for their hard work, perseverance and dedication to the great company. They're so committed to the purpose of taking Wabash to a new and higher level of achievement. I cannot say enough about our people. And that's why we continue to move past our words, people first and put that value into action a little bit more every day. I will now touch on capital deployment and then let Jeff go into more details later on this call. Deliberate deployment of capital to strengthen our balance sheet, while continuing to return capital to our shareholders remains the core of our current capital allocation strategy. Q1 was quiet as we focused on operational and commercial execution. But it remains our intent to execute our planned strategy for capital deployment throughout the remainder of this year. Moving now to our 2019 outlook. Trade activity has remained strong into this first quarter and we expect that to remain the case for 2019. The favorable outlook for GDP and in -- remains intact and we'll continue propel trade fundamentals accordingly. Demand for our core trailer product is expected to remain strong in 2019 with backlogs as I mentioned, essentially extending through the remainder of this calendar year and customer sentiment remains positive as we look forward to 2020 order planning. DPG continues to see strength and demand for its products and visibility is particularly strong within the tank trailer business. As previously discussed, the demand for Final Mile-related products has achieved results above our initial expectations. We continue to see our emerging Final Mile Products customer base, look aggressively at strategic expansion as they maneuver to take full further advantage of a changing logistics model. Continued positive customer sentiment coupled with very strong demonstrated backlogs serves to substantiate our expectations for a healthy revenue period for 2019. With our expectation for another year of strong demand for our products and initiatives underway to strategically grow and diversify the business, our continued focus is on margins, as strong industry volumes are likely to continue pressuring the industrial supply chains and labor markets through 2019. After one quarter, we are comfortable maintaining our guidance for 2019 full year adjusted earnings per share to be in the range of $1.50 to $1.70. At the midpoint of the range, we would demonstrate year-over-year earnings per share growth of approximately 11%. Turning to a longer-term discussion. I'd like to briefly mention that we held our 2019 Investor Day on February 28 of this year. It was my pleasure to see so many familiar faces in the room and to have the opportunity to lay out our strategic vision for the company in appropriate detail. At the highest level, we'd committed to financial targets by 2021 of $2.2 billion in revenue, 8% operating margins and EPS in the range of $1.90 to $2.10, while committing to offset forecasted core trailer market deceleration through our diversified market base strategic growth initiatives. For those that are interested in further detail on our businesses and how we expect to achieve our financial targets, I'd encourage you to visit the replay of the event on our Investor section of the website. With that, I'll ask Jeff to provide additional color on both our financial performance and our outlook. Jeff?
Jeff Taylor: Thanks, Brent and good morning everyone. Let's start with the financial results for the quarter. On a consolidated basis, first quarter revenue was $533 million, an increase of $41.9 million or 8.5% year-over-year. Net sales increased in all of our businesses compared to the prior year quarter as a result of strong customer demand in each segment. Consolidated new trailer shipments were 13,100 units during the quarter. While new trailer shipments were toward the low end of our first quarter guidance, revenue was closer to the high end of our guidance for the quarter as a result of increased average selling prices as we work to recover cost increases from the prior year. Additionally, Diversified Products Group as well as Final Mile Products both contributed strong revenue numbers during the quarter. In terms of operating results, consolidated gross profit for the quarter was $68.7 million or 12.9% of sales. Gross margin decreased by 20 basis points year-over-year as operating pressures continued in the manufacturing environment, particularly supplier disruptions and higher labor cost. The company generated adjusted operating income of $25.2 million and adjusted operating margin of 4.7% during the first quarter. Selling, general and administrative for the quarter excluding amortization was $38.4 million, or 7.2% of sales, somewhat higher than on an expected full year percentage of sales due to the seasonally lower revenue during the first quarter. Additionally, general and administrative expenses were higher in the first quarter due to resetting our full year approvals for items like variable compensation and health care as well as some discrete items in the first quarter, which are not expected to repeat on a quarterly basis. Operating EBITDA for the first quarter was $38.3 million, or 7.2% of sales. Intangible amortization for the first quarter was $5.1 million, roughly consistent with the prior year periods and in line with our expectations. Interest expense for the quarter totaled approximately $7.1 million, a modest decrease over the prior year as a result of the retirement of our convertible debt, which was partially offset by higher interest expense on our floating rate term loan debt. We recognized income tax expense of $3.2 million in the first quarter. The effective tax rate for the quarter was 17.6% lower than anticipated as a result of discrete items in the quarter. Finally, GAAP net income was $14.8 million, or $0.27 per diluted share. On a non-GAAP adjusted basis, first quarter net income was $15.1 million while adjusted earnings per share was $0.27. This compares to the first quarter 2018 adjusted earnings per share of $0.28. Let's move on to look at the segments. Commercial trailer products first quarter net sales was $341 million, which represents a $13.6 million, or 4.2% increase year-over-year on new trailer shipments of 12,400 units. New trailer average selling price or ASP increased over the prior quarter by more than $1,700 per unit and pricing actions to mitigate the impact of higher material and operating cost. Commercial trailer products recorded gross and operating margins of 10.5% and 7.7% respectively. Operating margin was down 130 basis points compared to the prior year period, primarily due to the impact of higher material cost and supply chain challenges. Diversified Product Group produced net sales of $100 million, a year-over-year increase of $4.4 million, or 4.7% for the quarter, primarily driven by an increase in tank trailer shipments as well as our composites business. As Brent mentioned, DPG was able to generate the solid rate of revenue growth, despite the divestiture of the AVTE business in mid-January, which represents approximately a high single-digit percentage point drag on DPG's year-over-year revenue growth. Diversified Products Group posted gross margin of 20.2% and operating margin of 8.1% during the first quarter. The 280 basis point improvement in operating margin as compared to the prior year period was primarily driven by product mix and progress made on pricing improvement to recover prior cost increases. Final Mile product net sales for the first quarter totaled $101 million driven by strong market conditions as well as demand from customers, who appreciate the operational and technology advantages Wabash brings to the truck body space. Gross and operating margin for the first quarter were 13.4% and 1.9% respectively. We're extremely pleased to achieve 390 basis points of sequential operating margin expansion in this business, as we saw chassis supply issues stabilized at more normalized levels and consistent with expected seasonal customer mix. Slide 8 shows the walk to free cash flow conversion. With operating cash flow of approximately $34 million roughly $6.8 million was invested via capital expenditure leaving $27 million of free cash flow, which converted at 182% of net income for the first quarter. Moving on to our balance sheet and capital allocation. Our liquidity and cash -- or cash plus available borrowings as of March 31st was $390 million, or 14% of trailing 12 months revenue. With regard to capital allocation, during the quarter, we invested $6.8 million in capital projects and allocated $4.6 million to the increased first quarter dividend payout. While intentionally building cash that we anticipate using for debt repayment later this year. Net working capital finished the first quarter up about $2 million from the prior quarter as increased inventory more than offset an increase in accounts payable. Working capital ended the quarter at 8.3% of trailing 12-month revenue. We finished the quarter with leverage ratios for gross and net debt at 2.7 times and 1.9 times respectively. Moving on to slide 9 with our outlook for 2019. Our outlook for margins remains consistent with our prior guidance. We expect between 50 and 150 basis points of full year 2019 gross margin improvement as we continue to make progress on operating efficiencies through the year. Selling, general and administrative as a percentage of revenue is expected to be slightly above 6% in 2019. We're currently estimating the effective tax rate for each remaining quarter to be approximately 26% to 27%, which will bring our full year effective tax rate to approximately 25% given the lower effective tax rate during the first quarter. Full year capital spending is expected to be higher year-over-year in 2019 as we continue to support the pipeline of productivity in projects and new product commercialization efforts identified across our business segments. In total, we estimate 2019 capital spending to be between $40 million and $45 million. Despite ongoing challenges in the manufacturing environment, we were pleased with strong customer demand and our ability to sequentially expand margins during the first quarter. With backlogs providing the solid top line visibility we're maintaining our 2019 earnings per share outlook of $1.50 to $1.70. As usual, we expect the second and third quarters to be the strongest on margins and consequently earnings per share due the normal seasonal trends. I will note that, the second quarter typically experiences a the seasonal tick – uptick from the first quarter in shipments margins and earnings per share. Our expectation is for second quarter revenue to come in between $595 million to $625 million with new trailer shipments of 14,500 to 15,500 units. For Final Mile Products specifically the business experienced significant growth in the second quarter of last year which leads to a tougher comparison this year in addition to the fact that we were trying to smooth the demand more evenly across the year instead of the historical peak we normally experience in the second quarter. Moving onto total company profitability. We expect margins in the second quarter of 2019 to be similar, but slightly higher than the level achieved during the second quarter 2018. In summary, we're pleased with the strong start to the year as demand remains robust and our progress on short-term operating performance shows through in the sequential improvement in our margins. We continue to generate strong free cash flow and we'll proceed with our balanced capital allocation strategy that prioritizes deleveraging while maintaining our dividend and continuing to invest in the business. As we laid out at our Investor Day, we're excited for the long-term opportunities, we have to continue building on our achievements and executing our strategy. We appreciate the support shown for Wabash National and look forward to having the opportunity to communicate further on our progress of our strategic goals throughout 2019 and beyond. I'll now turn the call back to Kyle and we'll open it up for questions.
Operator: [Operator Instructions] Your first question comes from the line of Brad Delco from Stephens. Your line is now open.
Brad Delco: Hey, guys. Good morning.
Brent Yeagy: Good morning, Brad.
Brad Delco: I got a couple. I'll try to fire them off quickly. First, Jeff, your last comment about margins being flat to slightly up on a year-over-year basis in Q2. That was on a consolidated basis and the point of reference would be the 7.5%, I guess, adjusted margin from Q2 of 2018.
Jeff Taylor: The answer to your question is yes absolutely on a consolidated basis. And I would say that, we would also say that basis would be on the gross margin basis, but that should slow down the operating margins fairly closely.
Brad Delco: Okay. So that comment was about gross margins but maybe aside from a little bit higher SG&A, it should be pretty similar on the operating income side as well?
Jeff Taylor: Yes.
Brad Delco: And then, in terms of pricing -- and I know there is a lot of different puts and takes with mix -- but what would you say just sort of core pricing is looking like in the trailer market today versus a year ago?
Brent Yeagy: Brad, this is Brent. I think the way I would characterize that is that pricing is within the expectations that we have guided the market towards relative to material cost recovery and then playing around the edges from a material margin expansion standpoint. Right now, we're doing well on the material recovery side and then we'll look to improve that with the open backlog that we have and continue to try to set the stage for 2020.
Brad Delco: Maybe another question. What are your material cost up here year-over-year? High single digits?
Jeff Taylor: Well, Brad, we told you that pricing was up over $1,700 per unit year-over-year and we've been able to effectively recover all of the material cost that we experienced in 2018. And so that would give you at least a general guide as to where material costs have gone on a year-over-year basis.
Brad Delco: Okay. And two more real quickly. Jeff, you mentioned several discrete items that put pressure on G&A and that was a number that missed us pretty significantly. What were those discrete items? Would you mind calling those out and maybe quantifying what impact they had on the quarter?
Jeff Taylor: Yeah. I don't want to call out every individual item. Not everything is large enough to really call out. But we do have two that we'll talk about and that'll come out in the 10-Q when that's release later today. And they're related to asset disposals related to some development work that we're writing off and then some legal costs just normal course. Legal type activity, but occasionally it hits you in the corner and we got that in the first quarter. And the asset disposable was 2.1 million and the legal was about 1.4 million.
Brad Delco: And that's probably $0.05 or $0.06 a share. Any particular reason why you didn't want to call that out on the press release?
Jeff Taylor: Well, generally -- they're generally things that happen from time to time. But once again we call them out in the 10-Q and they're laid out there. But it would be about $3.5 million would be about $0.05 to $0.06 per share, and you're correct.
Brad Delco: Okay. And then last question. Another strong free cash flow quarter. I think you sort of prioritized uses of capital but -- and commented on debt paydown later in the year. I'm assuming you'll be paying down the term loan. Is that correct? And do you want to -- care to quantify by how much?
Jeff Taylor: Yeah. We haven't talked about how much at this point in time and we'll reserve that for a later date. In terms of the paydown the term loan obviously, we have two pieces of debt on the balance sheet and we'll do our analysis to make sure that we're paying down on the one that is most financially attractive and long-term benefit to the company. So I wouldn't necessarily assume that it will all be term loan paydown. Because of the interest rate increases since we issued the high old debt in late 2017 that's the -- that debt is trading below par and so there could be an opportunity for us there as well.
Brad Delco: Okay. Great. Thanks, guys for the time. 
Jeff Taylor: Thank you, Brad. 
Brent Yeagy: Thanks, Brad.
Operator: Your next question comes from the line of Steve Dyer from Craig Hallum. Your line is now open.
Steve Dyer: Thank you. Good morning. A couple quick ones for me. Just the CTP segment, units were down a little bit year-over-year, despite really strong shipments I think up 12% industry-wide. Just curious if you're seeing -- if there was a timing issue? If you're losing a little bit of share you'd talked about maybe some constrictions around supply chain. Any sense as to what's going on there relative to the industry?
Brent Yeagy: Yeah. Brad, this is Brent -- or Steve. For us on CTP which is kind of two-fold thing. We had -- from a forecasting standpoint, we had some shipments slide into the fourth quarter of 2018 as we had thought we'd ship in first quarter of 2019. That affected us somewhat in terms of total shipments. And then the other piece of it was we had some ongoing supplier disruption, primarily experience within the CTP that affected production and ultimately shipments in the quarter. And that pretty much covers the issues with CTP.
Steve Dyer: So from a share perspective, it's not necessarily that you're walking away from any orders or anything like that?
Brent Yeagy: No, not at all. We saw extremely robust demand for the products and it's something that we're working to digest on an ongoing basis. I will say just -- beyond just these specific CTP issues, we did see a day -- one day of full loss production relative to weather and then we saw another I'd say effective couple days of loss, which is transient weather events throughout the quarter in really all our operations, but obviously CTP on a -- from a business standpoint will be affected the most and that factors into it as well.
Steve Dyer: Got it. And then as it relates to Final Mile, obviously pretty significant outperformance there at least versus our expectations. What can you say? I mean you touched on it a little bit, but what can you say about chassis availability? It would appear that to some degree the floodgates have opened there. What are you seeing there that sort of drive that kind of outperformance in such a short period of time?
Brent Yeagy: Well, it's host of activities. I'll start with the supply chain as a whole. We've had from a quarter-over-quarter basis significant improvement relatively for that business and overall supply chain-related disruption. Chassis availability has substantially improved from the fourth quarter and in line with what our expectations were relative to the mix of products that we have and the customer profile as well as the actions that we put in place to have better visibility, better planning with our chassis OEM providers. So that's in line with what we thought. And it's a positive indication for how the rest of the year should pan out. And we'll continue to take actions and we'll continue to further improve that information flow with those providers as we work towards the midyear time period. Now that coupled with working through and expanding the capacity and the overall operational effectiveness of the manufacturing system there to allow us to continually increase the amount of production that we can have out of those five facilities that we acquired through the acquisition. And from a sales and operations planning standpoint, Mike Pettit and his team continue to execute a through -- not only additional growth, but a leveling of the overall production demand as we look to as Jeff alluded to move off of that Q2 peak that that industry has typically seen. So all that comes to bear to really nice quarter for FMP.
Steve Dyer: Got it. Okay. Last one from me and I'll hop back in the queue. What would you anticipate -- I'm sure you're having conversations about your next year's order book and so on and so forth I guess. When would you expect to open that up formally? And how should we think about sort of margin ability next year? Would you take into consideration pricing and raw materials and all those things?
Jeff Taylor: Yes. So I would say based on the customer sentiment that we have and as well as just broad industry feedback I think if you try and look at the order book for the industry opening up in the June time frame would be my best estimate and Wabash will be in and around that time period one way or another. From a margin perspective I think between where we position customers today the intrinsic value of the product as it exist today plus the technology that we continue to launch orders one of those items that will come to bear in 2019 more fully leveraged in 2020. And we're positively looking and preparing to gain additional pricing -- net pricing as we move into 2020 and it's absolutely our expectation.
Steve Dyer: Got it. All right. Thanks guys.
Jeff Taylor: Thank you, Steve.
Brent Yeagy: Thanks, Steve.
Operator: Your next question comes from the line of Jeff Kaufman from Loop Capital Markets. Your line is now open.
Jeff Kauffman: Thank you very much. Good morning, everybody. Congratulations.
Brent Yeagy: Thank you, Jeff.
Jeff Kauffman: A quick -- just a couple of my questions have been answered. Question of a different type. In the new yellow agreement with the Teamsters Union, they've opened up the use of box trucks in their operation perhaps at the expense of some of the 28-foot pups. And in talking with some of the customers, it seems that box trucks are working their way more and more into the supply chain of the fulfillment the movement. Obviously, this plays into Final Mile, but to what degree are we potentially cannibalizing some of the CTP product? And can you talk a little bit about what you see going on with customers in terms of mix?
Brent Yeagy: Yes, great question. I mean I think you're touching on the dynamic nature of what's happening with supply changes in logistics models across the Board. And you're aware that we alluded to this when we did our Investor Day in the month of February. When we look at the shorter hauls more frequent redistribution within urban centers that it just makes sense in many cases that that work is done primarily with smaller truck bodies whether it be 16, 20, or 26-foot related truck bodies. From a Wabash perspective, regardless of where that trend goes, it's just a -- effectively it's a swing of revenue for us. We're positioning product across the Board just to fulfill whatever need is present within the logistics models and we're the only person that can do that who can serve both First Middle and Final Mile. Now, I would not characterize it anyway at this point that we see tangible cannibalization of dry vans at this moment in time in any meaningful way. It really feels more of an expansion in the overall need for assets within the changing logistics model. It just happens to have a different -- feels like the leading edges of a different feel relative to the types of assets that may be used in the future. I hope that helps and answered your question.
Jeff Kauffman: That was terrific. And then one kind of tangential. I was just got at the Advanced Clean Transportation Expo and they're talking about electric trucks and what's coming with hydrogen trucks and electric trucks. And yes, I think it's easy to think that you're somewhat indifferent as to what powertrain is pulling your trailer in the front. But some companies are telling me when you're hooking up to an electric vehicle, there are some differences. So, I guess my question is as we think about this move by the OEM stored electric vehicles in the future; is there any changes you need to make on the trailer technology side? And does this affect your business in any way, shape, or form?
Brent Yeagy: Well, I would say from a disruptive standpoint I wouldn't call any concern from that point of view. I think it leads to potentially some product design opportunities. As we look at the electrification or we'll call it clean energy utilization within the chassis for -- I'm sorry within yes chassis or truck front, there may be modifications that we make to the overall, whether it be trailer or truck body, to facilitate anything from additional whether it be auxiliary solar, whether it be additional batteries for storage. Whatever those things may be, it's the total weight of the unit that matters. And if we can create -- and as we plan through our advanced composite technology is another material science applications wider and while maintaining the strength in the product itself, we -- our product can then facilitate that added weight that will come within the tractors and in chassis as a whole. So, we see that as a potential advantage and we are investigating and preparing accordingly.
Jeff Kauffman: Okay. Again, congratulations on a terrific quarter and thank you.
Brent Yeagy: Thank you.
Jeff Taylor: Thanks Jeff.
Operator: Your next question comes from the line of Joel Tiss from BMO. Your line is now open.
Joel Tiss: Hey guys. How's it going?
Brent Yeagy: Good.
Jeff Taylor: Hey Joel.
Joel Tiss: I jumped on a little bit late, so you might have already answered these. But I wondered if you can talk about some of the trends in your price cost. I know you called it out in the tank trailer business and also the pricing that you have on your backlog for 2019?
Jeff Taylor: Yes. Joel, this is Jeff. Let me just try to give a high level overview of price cost. As you know on the cost side, particularly on the material front, but also on the labor front to some extent, we saw cost increasing as we were moving through 2018 and we were reacting to that as we went through 2018 to adjust pricing accordingly. And as you know because the backlogs are generally five months to six months in duration, it can take a period of time of delay if you will before that starts to take hold. And so we're seeing that flow through really, really now over the last couple of quarters. And so in terms of price cost we've effectively recovered all of the increases from 2018. Materials have stabilized. Most materials have stabilized and some has actually started to retreat a little bit. Having said that we've -- we always hedge materials to the extent we can when we take orders and so we've done that for 2019. And in some cases we hedged those materials in Q3 and Q4 last year. And so that's where we are on the overall price cost basis. I would say that pricing in 2019 is going to be effectively stable generally from where we are. We'll continue to as we've said in the past, never let the edges on that. When we have opportunity obviously demand is strong and open slots are few at this point for 2019. And we'll continue to push that and then move into 2020.
Joel Tiss: Okay. And then the Final Mile business grew very quickly in the quarter. And I don't know if you already talked about it again, but what was behind that?
Brent Yeagy: Well, the way we've simply characterized it is the -- we have strong customer demand for the product we're putting on the road as well as the delivery performance that we're providing them above and beyond industry norms. We've been telling this story for an extended period of time not only to the market, but to our customers. Our customer’s is significantly resonating at this point in terms of executing commercial activity. At the same time, we're expanding the manufacturing base through the use of the Wabash Management System, which is enabling Mike and team -- Mike Pettit and team to then begin to lay in that that growth accordingly as we've tried to level out the overall demand curve for that business. When it comes down to it we're providing a superior product we're providing superior service and we're going to rent accordingly.
Joel Tiss: Was there a large order in the quarter that is going to make it tough to lap it again next year or is it -- it's just the ramp up of the business is going to continue for a while?
Brent Yeagy: No. No. It wasn't a kind of a one trick pony at all. It was a general market level of growth between multiple customers that made up that mix. So it's strong execution across the board on the commercial front.
Joel Tiss: All right. That’s great. Thank you so much.
Brent Yeagy: Thanks, Joel.
Operator: I am showing no further questions at this time. I would now like to turn the conference back to Mr. Ryan Reed.
Ryan Reed : Thanks, Kyle and thanks everybody for joining us today. We'll look forward to following up during the quarter.
Operator: Ladies and gentleman, this concludes today's conference. Thank you for your participation and have a wonderful day. You may all disconnect.